Robyn Grew: Good morning, everyone, and thank you for joining us today. I'm Robyn Grew, the CEO of Man Group, and I'm joined by our CFO, Antoine Forterre. As usual, I'll start with some highlights, and then Antoine will take you through the numbers. After that, I'll provide an update on the good progress we continue to make against our strategic priorities. The first half of 2025 has been extraordinary as global markets experienced unprecedented volatility, testing investor confidence and market resilience. While we returned to relative stability in recent weeks, key uncertainties continue to persist. Trade policy remains fluid with ongoing implications for global supply chains. Tariffs also present possible consequences for growth and inflation, which has some major developed central banks in a wait-and-see mode. Meanwhile, unresolved geopolitical tensions add another layer of complexity to the landscape. During this period, we are pleased to generate overall investment performance of $2.5 billion with our long-only strategies once again delivering particularly strong returns. However, our alternative strategies fared less well. This was largely driven by trend following programs, which faced significant headwinds, as I'm sure many of you are aware. Total net inflows were $17.6 billion for the period, our strongest 6 months on record. This was 11.5% ahead of the industry, which truly validates our position as a trusted partner to our clients. This exceptionally strong period of organic growth drove our assets under management to a record $193.3 billion at the end of the first half, 15% higher compared with the 31st of December 2024. Core management fee earnings for the period were $0.085 per share, while core earnings were $0.097 per share. These financial results particularly reflect the challenging market backdrop for trend following. However, they also serve to validate our strategy and underscore the value of the diversification we continue to build across our business. I'm proud of the team's strong progress against our strategic priorities this year, including the acquisition of Bardin Hill, but more on that later. Finally, we have previously set the interim dividend at $0.056 per share until reaching a 1:2 ratio between the interim and final dividend. Having achieved this target with our 2024 final dividend of $0.116 per share, going forward, we intend to set the interim dividend at 1/3 of the previous year's total dividend. Accordingly, the Board has declared a 2025 interim dividend of $0.057 per share. As mentioned, our long-only strategies delivered strong returns. The category was up over 8% overall, with particularly notable returns from emerging markets' Core and Global Core. Our alternative strategies delivered negative performance overall as market conditions during the first half created a challenging environment for trend following, as I mentioned earlier. There were, however, several positives on the alternatives front with solid investment performance across many of our other strategies, best represented by 1783, our flagship multi-strategy offering, which continued its strong run to the end of the half, up 6%. These results highlight the importance of further diversifying our offering. During the period, Man Group's relative investment performance on an asset-weighted basis was 1.2% behind similar strategies offered by other investment managers. While our long-only strategies registered strong outperformance versus their respective benchmarks with notable returns across the Man numeric range and our credit strategies. This was offset by negative relative performance from certain alternative strategies. In particular, AHL Evolution, which is a unique offering that trades harder to access markets, weighed on the metric as its benchmark index has a lower realized vol and broader selection criteria for inclusion beyond traditional trend following. On the topic of trend following, the industry has faced significant performance headwinds in 2025, one of its worst periods in decades, and our strategies have been no exception. The primary driver of this has been the reversal of the Trump trade in Q1, followed by unprecedented policy volatility emanating from the current U.S. administration, which created what can only be described as on-off dynamics that generated a whipsaw effect in markets. This was felt most acutely during April following the announcement of comprehensive tariff programs on the second, markets declined sharply, prompting our systematic strategies to derisk and reposition. However, the subsequent unpredictable announcement of a 90-day tariff suspension on the 9th of April triggered an immediate market reversal, causing markets to rebound in a sharp V-shaped pattern and hurting trend followers positioned for continued weakness. To contextualize this environment, the SocGen Trend Index experienced one of its worst drawdowns in 25 years. And as you can see, our own strategy, AHL Alpha has experienced an abnormally high frequency of returns in the left tail. However, it's important to note that significant drawdowns are not unique. During the global financial crisis, trend-following experienced a peak-to-trough drawdown of over 17% and patient investors were ultimately rewarded. We believe the current environment, whilst challenging, reflects temporary policy-driven disruptions rather than fundamental structural changes to market dynamics. As markets adapt and policy uncertainty eventually subsides, we expect trend-following to resume its historical role as a crucial liquid diversifier that provides complexity when investors need it most. Our distribution network remains one of our greatest competitive advantages, and I'm pleased that the client-led growth in our business remained exceptionally strong despite market volatility and continued lack of realizations from private equity. Total net inflows of $17.6 billion for the period were driven by long-only strategies with continued client demand for liquid credit alongside an exceptionally strong period of demand for our systematic long-only strategies. A particular highlight was a $13 billion subscription from a single client with whom we have collaborated to develop a responsible low-tracking error solution. It was a more challenging environment on the alternative side as we have naturally experienced a pickup in redemptions following a softer run of performance. This was felt acutely in the wealth channel where the sensitivity to short-term performance is higher. Overall, therefore, it was pleasing to see that on a relative basis, our net flows remained ahead of the industry with our sustained market share growth truly validating the quality of our diversified product offering and partnership-led global sales capabilities. In today's complex environment, investors need strategic partners who are innovative, adaptable and forward thinking. We made a conscious effort to listen and respond to our clients, providing them with a single point of contact that understands their unique requirements. This client-focused approach has enabled us to attract and retain assets significantly faster than our industry peers. This slide showcases the strength of our client engagement this year, which stems from our ability to evolve and stay relevant through our broad offering. Despite certain alternative strategies facing headwinds, engagement remains robust across the category as our clients recognize that differentiated liquid solutions are fundamental to effective long-term portfolio allocation. Given our diverse range of uncorrelated capabilities designed to perform across varying market conditions, combined with our ability to customize at scale, we are ideally positioned to serve as their strategic partner throughout this journey. Before I hand over to Antoine, I wanted to take a step back and reflect on the year so far. The strategy I set when becoming CEO is demonstrably working. We have successfully grown the business, expanded capabilities through new team hires and the Bardin Hill acquisition and delivered strong performance across quant equity, credit and 1783. Given the significant pace of change, both within our firm and externally, we have taken action to further streamline our organization, which will enable us to move faster and operate with greater clarity as we execute our strategic priorities to diversify and build scale around our high-quality core. Through this disciplined approach to resource allocation, targeted investments and rigorous cost management, we're building a better, stronger business positioned to thrive during this period of paradigm shift and AI revolution, ensuring we do everything within our control to deliver sustained success for our clients and shareholders alike. Antoine will provide more detail as he takes you through the numbers.
Antoine Hubert Joseph Forterre: Thank you, Robyn, and good morning, everyone. As usual, I'll begin with some financial highlights before moving on to our AUM, P&L and balance sheet. As Robyn mentioned, I'll also provide more color on the actions we are taking as we take stock of the current environment. In the first half of 2025, we recorded net revenue of $604 million, with net management fees of $517 million, a 6% decrease compared to the same period last year. The decline was primarily driven by a decrease in AUM in higher-margin strategies, reflecting the challenging market conditions for trend-following. We generated $67 million in performance fees with both alternative and long-only strategies contributing, demonstrating the continued progress we have made in diversifying the business. We also recorded $19 million in investment gains from our seed book in the half. Fixed cash costs increased to $222 million in the period, and the total compensation ratio was at the top of our guided range, reflecting the lower net revenue recorded in the period. Our core PBT margin consequently decreased to 24% in the first half of the year. Overall core profit before tax was $146 million and core management fee profit before tax was $130 million. Finally, we continue to have a strong and liquid balance sheet with net tangible assets of $674 million as of the end of June, which continues to support our disciplined capital allocation policy. We ended the period with AUM of $193.3 billion, a new record for the firm, up nearly $25 billion from the end of 2024. As Robyn mentioned earlier, the increase was driven by net inflows of $17.6 billion, positive investment performance of $2.5 billion and positive other movements of $4.6 billion. We did, however, experience $3.5 billion of net outflows from alternatives, of which $1.5 billion related to absolute return strategies. This follows a period of challenging performance from trend-following strategies. While net flows of $21.1 billion to long-only strategies were driven by the large mandate win Robyn mentioned earlier, we still raised nearly $8 billion net from other clients during the period. This is an exceptionally strong outcome in the context of the current fundraising environment. Positive other movements of $4.6 billion includes $7.5 billion of FX tailwinds owing to the depreciation of the U.S. dollar as approximately 45% of our AUM is denominated in other currencies. Owing to the strong growth in our long-only strategies, our run rate net management fee margin decreased to 55 basis points at the end of June compared with 63 basis points at the end of December 2024. It is worth noting that the large systematic long-only mandate alone drove half of that reduction. As I have emphasized many times before, we do not manage to a specific margin, but instead focus on profitable growth across all our product categories, and Robyn will talk about the scalability of our long-only quant equity offering in this context in the finance section. Our run rate net management fees, which represents a point-in-time snapshot of the firm's management fee earning potential remained largely flat compared to December 2024 at $1.055 billion. Moving on to performance fees. Core performance fees for the period were $67 million, comprising $32 million from alternative strategies, 1783 in particular, and $35 million from systematic long-only strategies. This reflects the progress we have made in diversifying the performance fee earning potential of our business. Although the contribution from transferring strategies was nil in H1, we continue to have confidence in their ability to deliver valuable performance fees for shareholders in the future as they have done in the past. Gains on seed investments were $19 million, which highlights the continued benefits of seeding portfolio adds for shareholders. At the end of June, we had $51.8 billion of performance fee eligible AUM with $17.3 billion at high watermark. And as at 23rd of July, we had accrued roughly $55 million of performance fees due to crystallize in 2025. This figure is not a forecast or guidance, but rather the position at a specific point in time, the amount that crystallize will fluctuate, increasing or decreasing based on investment performance up to crystallization date. Turning to costs. Fixed cash costs of $222 million in the first half were 9% higher compared to the same period in 2024, driven by the weaker U.S. dollar as approximately 60% of our costs are incurred in sterling, along with previously announced targeted investments to support our strategic priorities. Variable compensation costs decreased to $161 million, reflecting lower revenue in the first half with our compensation ratio for H1 at 50%, the top of our guided range. Our previous fixed cash cost guidance of $425 million for 2025 assumed a dollar sterling FX rate of $1.25. Prior to the cost actions detailed today, adjusting this for H1 actuals and the current FX rates would imply full year fixed cash cost of $442 million. Our cost actions are expected to result in a $10 million cost saving in 2025. Accordingly, we are revising our fixed cash cost guidance for this year to $432 million. This assumes an FX rate of $1.35. In summary, despite record AUM and net inflows, the mix of underlying assets under management led to a decrease in overall management fee revenue. Combined with FX headwinds and continued investments in our business to support future growth, this resulted in core management fee PBT in the first half of $130 million, 20% lower than the same period last year and core management fee earnings per share of $0.085. A lower-than-average period performance fee profit resulted in core PBT of $146 million and core earnings per share of $0.097 in the first half of 2025. The headwinds facing transferring strategies have impacted our profits this year. And as Robyn said earlier, we have taken action. Our efforts have been focused on 3 areas. Firstly, we have further streamlined our operations. This includes reducing management layers, accelerating near-shoring plans and simplifying our organizational structure. For instance, you may have seen the recent announcement regarding the combination of our systematic businesses, which represents a shift towards a more collaborative platform that can benefit from shared research, data and trading capabilities, particularly in the quant equity space. We're also deprioritizing certain noncore initiatives that have limited potential or midterm impact. Secondly, together with some headcount reduction, we are reducing nonessential G&A spend, resulting in the previously mentioned $10 million decrease in fixed cash cost guidance for 2025. We have also proactively reduced our seed exposure, primarily the acquisitions financed externally to reduce the associated run rate net finance cost by $8 million. Importantly, this has been done without compromising on the strategic optionality of our program. Finally and importantly, we remain committed to investing in key growth areas that drive our strategic priorities forward and diversify our firm for the future. You can see that in the progress we have made building our credit platform and the amount we continue to invest in our technology capabilities. Those investments rely on the remarkable people we have in our firm. The actions mentioned above allow us to focus our efforts on scalable strategic priorities to drive long-term value for our shareholders. It is possible that if transferring performance does not recover by the end of the year, we could modestly exceed the upper end of the guided total comp ratio range in 2025. In summary, we will continue to maintain the cost discipline that we are known for and take an agile approach to navigate what lies ahead, protecting our talent and investing strategically in areas that drive long-term shareholder value. Our balance sheet remains strong and liquid, which gives us optionality and flexibility to invest in the business to support our long-term growth prospects, evaluate M&A opportunities and ultimately maximize shareholder value through capital returns. At the end of June, we had $674 million of net tangible assets, including $126 million in core cash and cash equivalents. Gross seed investments at the end of June were $677 million, $489 million of which were on our balance sheet. We maintain a diversified seeding portfolio with investments across both alternative and long-only strategies in liquid and private markets. Despite the actions outlined earlier, we continue to deploy capital strategically in 5 new strategies in the first half of 2025 in addition to announcing the Bardin Hill acquisition. As I've mentioned before, we consider the most efficient financing available to support operational initiatives, including using our revolving credit facility. Our business model is highly cash generative, and the cash flows support consistent capital returns to shareholders. Our capital allocation policy remains disciplined and intend to support the future growth of the business while delivering attractive returns to shareholders. Including the interim dividend proposed today and the $100 million share buyback currently in progress, we have announced $165 million of shareholder returns in the first half of 2025. This takes the total capital return to shareholders over the past 5.5 years to $2 billion via a combination of dividends and share buybacks. Remarkably, this represents over 73% of our market cap at the end of June. The decrease in share outstanding over the time frame means shareholders now receive an additional 27% of every dollar of earnings when compared with 2020. On that note, I'll hand over to Robyn to take you through the final section of our presentation.
Robyn Grew: Thank you, Antoine. Last year, I outlined our long-term strategic priorities, each of which represents a significant exciting growth opportunity for us. As a reminder, we aim to further diversify our investment capabilities, notably in credit, quant equity and solutions and to extend our client reach with a particular emphasis on wealth, North America and the insurance channel, all whilst leveraging our existing strengths and scale. This year, we continue to make significant progress on our multiyear strategic priorities, advancing key initiatives that diversify and scale our business while strengthening our competitive position. On the solutions side, our multi-strategy offering, 1783, maintained its strong performance, and we enriched our offering by adding 4 new discretionary alternative investment teams. On the client side, we continue to deepen our relationships, engaging with a number of new large institutions in the U.S., establishing the major [indiscernible] partnership within the insurance channel and raising over $1 billion of additional capital through the Asteria JV in Wealth. I'm delighted with our progress, and I'll spend some time today talking about the work we've done on our credit platform, quant equity capabilities and our technology edge. A highlight this year has been the continued growth of our credit business, which has established itself as a cornerstone of the firm. As at the end of June, we managed AUM in credit of $42.7 billion, up from $14.7 billion just 2 years ago. Our liquid offering spans multiple strategies with global high yield and investment-grade opportunities, which have delivered industry-leading returns and gained strong client traction across geographies, channels and client types to emerging markets corporate credit, where our new launches have seen good early momentum. We've also leveraged our quant heritage to build a meaningful presence in specialized areas of systematic credit, including catastrophe bonds. Our strategic move into private credit through acquisitions and team hires has broadened our capabilities. Building on this success, we're pleased to announce earlier this month the acquisition of Bardin Hills, a New York-based private credit manager with $3 billion in AUM. Bardin Hill specializes in both opportunistic and performing credit strategies. Its opportunistic platform focuses on U.S. distressed and special situation investments alongside U.S. nonsponsor-backed direct lending, while its performance credit platform concentrates on broadly syndicated loan CLOs. Led by a highly experienced management team with an average industry tenure of 22 years, all of whom are joining as part of the deal, Bardin Hill has significant expertise in managing credit strategies for a sophisticated global client base that includes pension funds, endowments, foundations, insurance companies and consultants. The acquisition adds capabilities that are highly complementary to our private credit offering while strengthening our U.S. presence and supporting our strategic priorities across solutions, wealth and insurance channels. Recent experience with our U.S. direct lending offering has validated the growth potential across opportunistic and performing credit markets, and we look forward to capitalizing on these opportunities. Completion is expected later this year, subject to certain conditions. With the credit market becoming increasingly attractive to the world's largest institutions, we remain focused on expanding our existing capabilities while exploring opportunities to grow further, whether organically or inorganically. We've also made strong progress in long-only quant equities, building from our position of strength given our quant heritage and culture of innovation. We've grown the size of our systematic long-only business by over 70% in the past 2 years with our track record of alpha generation and recent client demand, demonstrating the platform's potential. Remarkably, over the same period, the headcount in our investment team is pretty much unchanged. This shows the scalability and earnings potential of our offering. A notable milestone this year was securing a large mandate of our -- for our global strategy, which was developed in collaboration with our clients and exemplifies our ability to innovate and leverage expertise from across our firm to deliver highly customized solutions. The growth we're seeing across quant equities reflects our broader competitive advantages, our focus on alpha generation, our cultural DNA for client partnership, our ability to deliver at scale and the quality of our institutional resources. We're well positioned as clients increasingly seek fewer, more capable providers who can help them navigate their most complex challenges. Another key differentiator is our technology platform. Our early continuous and significant investment in tech has created a lasting competitive edge that is not easy to replicate. The stats on the left of the page gives you a sense of the power of our platform, which is orders of magnitude ahead of most asset managers. It enables us to trade across numerous markets, execute larger volumes and operate with speed and agility. These figures are significantly higher than they were a few years ago as we've continued to invest substantially in strengthening our capabilities. This year, our investment has focused on generative AI centered on building sophisticated autonomous agents to augment our investment process. These enable rapid analysis of complex data sets and automated decision-making with the potential also to transform our operational efficiency and scalability, ultimately delivering better outcomes for our clients and value to our shareholders. I can't emphasize enough how important this is to us, operating in an industry that, like most others, is becoming more technology-driven. For us, technology isn't just about making better investment decisions. It permeates our culture and powers everything we do. We entered the second half of the year with good momentum. While trend-following has faced one of the most challenging markets in decades, our strategy to diversify the business is working. We've generated solid investment performance across credit, quant equity and solutions, all of which are multiyear priorities and uncorrelated to trend. We've raised record AUM from our clients globally, demonstrating the depth of partnerships and our relevance to them. And we've done all of this while staying true to our ethos of cost discipline. These actions strengthen our business and build a robust platform for continued growth in the years to come. I'm confident that our core strengths, exceptional people and cutting-edge technology will help us deliver for our clients and shareholders in the future. With that, we'll open up for analyst Q&A. [Operator Instructions] Question-and-Answer Session
Antoine Hubert Joseph Forterre: And with that, we'll start with Arnaud, first of the block.
Arnaud Giblat: Three questions, please. If we start with the performance fees. So this half, you earned about half of your performance fees from the systematic long-only. And if I compare the level of performance fees you earned there versus history, it's clearly at a higher level. I'm just wondering if the conditions required to earn performance fees in those strategies have changed. Should we be looking at performance fees from that category as something more sustainable going forward? My second question is on the absolute return outflows. So quite a challenging quarter, Q2 for you. And I think you explained that was given the recent underperformance. The AHL strategies haven't rebounded much of late. I'm just wondering what the outlook there might be? And specifically, you indicated that the outflows came from the wealth channel. I'm just wondering if those are higher margin. And a final question on costs, $10 million cost to come through. I'm just wondering what that run rate number looks like going into 2026 and if there's more flexibility if the environment remains challenging in H2.
Antoine Hubert Joseph Forterre: Thank you, Arnaud I think they're all for me. That's okay. So in the order you've asked them, you're right. So strong contribution to performance fees from long-only systematic this period. You really have 2 drivers for that. One is the very strong performance of the strategy across the board, quant equity alpha has been strong this year, but also last year, and our team is doing particularly well there with around 4%, 5%-ish of kind of annualized AUM weighted outperformance versus relative benchmark. So the performance is one driver. The other aspect is the performance fee eligible long-only AUM that we have. And you will have seen that, that has increased in the half as well. And so the performance fee potential has increased from that category. Second question on absolute return outflows. we don't comment on future flow, but you're right that we had some outflows, which we called out in Q2 from wealth strategies in particular. They tend to be kind of more reactive to short-term performance moves. The margin in those products is broadly in line with the category margin. And then finally, on costs, we announced in July this kind of cost program and reorganization that will lead to $10 million of fixed cash cost saving in the second half. And I think now you can analyze that as a number in your target. As you know, we don't give sort of 18 months ahead cost target. We remain, as we've been in the past, cost conscious whilst aiming to invest for growth in the business and making sure that we can reward the team fairly. So this is the view on cost. Thank you, Arnaud. In the order to come, I will go to [indiscernible]. I will leave you possibly sorting out some text at your end because it looks like it works at our end, and I'll go to Angeliki in the meantime.
Angeliki Bairaktari: Just a few questions from me. First of all, I was looking at the Varagon AUM at $9.9 billion, which are again lower versus the previous quarter and semester and haven't really grown since the time of the acquisition. So I was just wondering if you can give us a little bit of color behind that. Why has there been a decline there? And when I look at some of the U.S. private credit peers, they seem to be deploying much faster than Varagon. So I just wanted to understand the dynamics there. And then also in the context of the Bardin Hill acquisition, what is the rationale of the acquisition? I mean, obviously, except for adding another $3 billion in credit, are there any synergies or cross-selling expected either with your existing franchise in the U.S. or your European franchise? If you can explain to us a little bit what sort of the growth that you expect to see in those 2 areas, Varagon and Bardin Hill over the next sort of 2, 3 years? Then a question on absolute return. And thank you very much for the answer to the previous question on the outlook. I was just wondering -- the U.S. administration policies have proven to be quite unpredictable, as you pointed out in your opening remarks. And that's probably an unhelpful backdrop more generally for trend-following strategies. Given that we have another 3 years ahead of us as it looks like of the current administration, could that mean that performance in trend following is going to remain challenged for longer? And are you having any conversations with your clients that are sort of pointing to that fact and are perhaps a little bit more hesitant to put capital into those strategies in the current environment? And then one last question on Man Strategy 1783. What is the total AUM today? And how big can the strategy become? Are there any capacity constraints?
Robyn Grew: Okay. I say -- why don't you start with Bardin Hill.
Antoine Hubert Joseph Forterre: Yes.
Robyn Grew: Absolute return between us and 1783.
Antoine Hubert Joseph Forterre: Very happy to. And thank you for your questions, Angeliki. So Varagon is progressing as planned. You're right that reported AUM, which is really the AUM deployed on which we're earning fees has slightly reduced committed capital of $4.9 billion for all the private credit offering that we have is actually in line where we were last year. Varagon focuses on mid-market direct lending, sponsor-back direct lending in the U.S. And at the end of last year, early in this year, the outlook for deployment was looking great. And then since February and some of the first kind of reversal of trade that Robyn mentioned earlier, that kind of M&A market has been very slow. Hence, the new deployment. But over the period, we have raised $1 billion of capital for them. So the comment that it's working as planned. Bardin Hill?
Robyn Grew: Yes. Bardin Hill, thank you for the question. Bardin Hill, the rationale, again, this is about capability and content. It's an area in which we -- particularly on the opportunistic credit side, where we just don't have that talent in the organization. It's something we know clients are very, very interested in. On the performing side, it adds about $1 billion of performing credit into the organization. Again, a strength that helps us propel ourselves forward in that credit space. There is an interesting synergy between the Varagon business in that sponsor-backed lending space and the non-sponsored backed lending space where there is an ability to indeed collaborate and have a movement between those 2 entities. We believe there are great synergies in that space. It strengthens our U.S. platform. It adds about 50 people, just under 50 people into our U.S. space. And so it hits a number of the initiatives, the strategic objectives we have to build out relevance in credit to continue to grow U.S. to provide content that's orthogonal or uncorrelated into and for our clients. And we know it's an area where our clients are very, very interested. So hopefully, that answers the Bardin Hill rationale. In absolute return, I think this was a question about trend. It's difficult to predict what's going on in the market. It's not something that we are here to do particularly, but we have conviction that trend continues to be a valuable component into client portfolios. It certainly is there as defensive alpha position at the moment. And then things inevitably will, we believe, calm down. I can't give you a time frame on that. I think you will start to see the trends returning into the market space as they have and as the data demonstrates. So we have high conviction that trend is still valuable. It's important to clients. It's part of defensive alpha at the moment in people's allocation, and we continue to have conviction in it going forward.
Antoine Hubert Joseph Forterre: And then 1783, it's around $2.5 billion of AUM, which is kind of a portion to the underlying categories in our AUM reporting, capacity up to kind of $5 billion as it is now, but it's a program that we can scale by hiring teams. Robyn mentioned 4 new discretionary teams being hired in the first half and building capabilities across the firm. It's one of the key priorities for us within our kind of solution focus and also helps with kind of the wealth channel in particular. Thank you, Angeliki. I will go to Bruce. I'll go to David McCann and then come back to Hubert and then Bruce.
David McCann: Hope you can hear me.
Antoine Hubert Joseph Forterre: Yes.
Robyn Grew: Yes.
David McCann: Yes. Perfect. Three from me, please. First of all, can you just clarify, you mentioned Antoine, in your remarks that there's a possibility you might exceed the 50% comp ratio in the second half. I mean, is that predicated on any particular threshold for outflows from here in alternatives? Or have you built any kind of margin of safety that would kind of leave you below the 50% level? I'm just trying to understand the dynamics, what should we be watching for as we see your Q3 numbers and the trend strategies in particular evolve. Second question, on the trend strategies. Have you made any changes to the investment process, i.e., has there been any style drift here in those strategies? We know that some of the press around the return to office mandate for a number of your people in that area and linked to that some of the projects. So have you actually done anything different that could alter returns there? And then finally, just on the same topic really, no doubt a question you're getting from clients. So I'd just be curious as to how you're defending this and answering that question. Clearly, many clients buy these to be tail risk hedges, the trend-following strategies. And obviously, they didn't really deliver that in April when it was most needed. So how are you defending against that line of questioning?
Antoine Hubert Joseph Forterre: Thank you, David, for the questions. I'll take the first one. At this point, the guidance range guidance range stands. So 40%, 50% remains the guidance. As we've discussed in the past, we remain committed on being cost conscious but also invest in the business. And so what we will do is look at kind of performance of the business between now and the end of the year and take stock of what that means. But at this point, the guidance stands.
Robyn Grew: Let me take the second one, David. It is an incredibly useful experience. It's always good to have people review and think about whether there's anything better or different we should be doing around the investment process with trend. The short answer is actually, nothing confirmed that there is nothing structurally wrong in the strategy at all, validated the strength of the analytics and the research. We always look, as you know, to incrementally review and change these things. But actually, the exercise did not demonstrate anything that was structurally wrong at all with the investment process. Linking that into the last question you had on clients and how we're talking to clients. Clients are very well aware that trend strategies have headwinds in such volatile whipsaw markets. In fact, there is a good understanding, I think, that there wasn't an expectation of trend being able to operate in markets which change so quickly. So this has become a discussion with clients that's much more enriched around portfolio and risk management, portfolio construction and risk management and the elements they're looking for to navigate the volatility in markets today and as they move forward as we see this significant change in the way that markets are operating in a market environment, as I talked about earlier, which is going through an industrial revolution with AI and with the other macroeconomic factors that are featuring. So I think this is not a discussion as much as defensive of trying to defend where trends performance is, clients understand that. It's a question of how they construct portfolios now to navigate this new paradigm.
Antoine Hubert Joseph Forterre: I'll go back to you, Hubert.
Hubert Lam: Three questions. Firstly, on -- sorry, go back to the AHL. How much AUM do you have financial strategies within the wealth channel? I think that you pointed out that was the culprit for the second quarter outflows. And is this -- do you see near-term risks in the second half given what we saw in the second quarter and given performance? Second question is on M&A. So Bardin Hill was a good acquisition, adding new capabilities. In which areas do you think you're currently missing that you potentially do more within M&A? And lastly, you had a good win of the $13 billion, which you mentioned. So should we expect more such M&As to come? What is the fee margin there? And also, does it also have performance fee potential?
Antoine Hubert Joseph Forterre: Thank you, and thank you for your questions. So we don't, as you know, comment on future outlook. We don't disclose I'm afraid of specific AHL AUM in wealth, but it's within the traditional trend following category in particular in our reporting. So that's where you'll find most of the wealth AUM for AHL. Bardin Hill, thank you for the comments about a good acquisition. We would agree. I think acquisition remain a way for us to deliver strategy, but we have to acknowledge that we haven't yet closed Bardin Hill, and we need to close and integrate the business. And so whilst we will continue to look the sort of urge to do something is probably reduced over the next 12, 18 months. It doesn't mean we won't do anything, but it means that the sort of urge to look for something new isn't there. And the way we think about M&A hasn't changed. It's about adding kind of quality capabilities to our offering so we can supplement and enrich the client discussions. And then the mandate, we won't disclose the margin specifically on that mandate because of client confidentiality. It's a global equity mandate at fairly low tracking error, and you will see the impact it had on the overall margin. It funded towards the end of Q2. And so it's reflected in the run rate margin in AUM that you see. There was a 4 basis point impact on the overall margin reduction in the period. Bruce, I will go to you again. What I suggest you do, Bruce, is you ping me or Karan and we will make sure we answer your question as a follow-up. With that, thank you very much everyone.
Robyn Grew: Thank you.